Operator: Welcome to the Regional Management First Quarter 2021 Earnings Conference Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Garrett Edson of ICR. Please go ahead.
Garrett Edson: Thank you and good afternoon. By now, everyone should have access to our earnings announcement and supplemental presentation, which was released prior to this call and may be found on our website at regionalmanagement.com. Before we begin our formal remarks, I will direct you to Page 2 of our supplemental presentation, which contains important disclosures concerning forward looking statements and the use of non-GAAP financial measures. Part of our discussion today may include forward-looking statements, which are based on management's current expectations, estimates, and projections about the Company's future financial performance and business prospects. These forward looking statements speak only as of today and are subject to various assumptions, risks, uncertainties, and other factors that are difficult to predict. And that could cause actual results to differ materially from those expressed or implied in the forward looking statement. These statements are not guarantees of future performance, and therefore you should not place undue reliance upon them. We refer all of you to our press release presentation and recent filings with the SEC for more detailed discussion of our forward-looking statements and the risks and uncertainties that could impact the future operating results and financial condition of Regional Management Corp. Also, our discussion today may include references to certain non-GAAP measures. The reconciliation of these measures to the most comparable gap measure can be found within our earnings announcement or earnings presentation, and posted on our website at regionalmanagement.com. I would now like to introduce Rob Beck, President and CEO of Regional Management Corp.
Rob Beck: Thanks, Garrett, and welcome to our first quarter, 2021 earnings call. I'm joined today by Harp Rana, our Chief Financial Officer. Following our strong performance in the second half of last year, we carried forward the momentum into 2021. In the first quarter, we generated record bottom line results of 25.5 million of net income and $2.31 of diluted EPS. Our growth initiatives helped to reduce our typical first quarter seasonal liquidation and the impact of new stimulus payments, which in turn drove strong revenue performance. At the same time, we maintained a superior credit profile with historically low 30 plus day delinquencies, retained a tight grip on expenses while continuing to invest in our digital initiatives and growth strategies. And experienced low funding costs thanks to our strong execution in the securitization markets. Despite pressure from a combination of tax refunds and two stimulus payments in the quarter, our core small and large loan portfolio grew by $18 million or 2% over the prior year period and was down only $28 million or 2.5% quarter over quarter. This strong result was driven in part by the new growth initiatives that we implemented in 2020, which continued to perform very effectively. We originated $231 million of loans in the quarter, up 1% year over year and up 5% from the first quarter of 2019 with $29 million that are originated loans derived from new growth initiatives. The second round of $600 stimulus checks appeared to have been spent relatively quickly. The third round of $1,400 stimulus checks led to a temporary period of higher loan payment activity, along with some weakening of loan demand. As a result, while the stimulus payments impacted first quarter demand, the overall impact on our typical first quarter seasonal loan portfolio liquidation was much lower than we expected and much lower than what some others in our industry and in the prime credit space experienced. Our large loan portfolio actually grew sequentially in the first quarter by $4 million or 0.6% as the stimulus measures disproportionately impacted our higher rate small loan portfolio. Loan demand remained relatively soft in April due to the impact of the distribution of the remaining 20% of stimulus payments along with additional tax refunds. However, we saw the demand start to pick up in the latter part of April, and we expect demand to continue to rebound in May and June, which should enable us to generate modest loan growth in the second quarter. We continue to believe that loan demand in the second half of the year will be strong as the economy more fully reopens. Credit quality continued to remain very solid in the quarter and our balance sheet remains robust. Our net credit loss rate during the quarter was 7.7%, a 280 basis points improvement from the prior year period. And we ended the quarter with a record low 30 plus day delinquency rate of 4.3%, a 230 basis points improvement from the end of March of 2020. As of April 30th, our 30 plus day contractual delinquency rate further improved to approximately 3.7%. We expect that our credit performance will continue to be strong throughout 2021. Any COVID related net credit losses will occur in late 2021 at the earliest, though we anticipate that our delinquency rate will begin to normalize throughout the balance of the year as the benefits of federal stimulus dissipate. Given our continued superior credit performance, we released $6.6 million in COVID-19 reserves in the first quarter and $3.8 million of additional reserves as a result of the seasonal runoff in the portfolio. Our 139.6 million allowance for credit losses, as of March 31st, continues to compare quite favorably to our 30 plus day contractual delinquency of 47.7 million. Our allowance includes a 23.8 million reserved for additional credit losses associated with COVID-19. We remain conservative in our maintenance of COVID reserves as the overall economy has not yet fully recovered from the pandemic. We also continue to further strengthen our overall balance sheet and liquidity position. In April, we enhanced our warehouse facility capacity by closing on two new warehouse facilities with our current lenders, Wells Fargo and Credit Suisse and by adding a third warehouse facility with a new lender, JPMorgan. While our prior facility only funded large loans, the new facilities fund multiple collateral types, including small loans, large loans, convenience checks, and digitally originated loans. We are very pleased with this outcome. It represents yet another step in the evolution of our capital structure as we continue to pursue new avenues of funding diversification and additional capacity to support our ambitious growth plans and our capital return program. To that end, we are happy to announce an increase in our quarterly dividend by 25% to 25 cents per share. In addition, in May, we completed our $30 million stock repurchase program that began in the fourth quarter of 2020. Having repurchased in total 951,841 shares at a weighted average price of $31.52 per share, our Board of directors recently authorized a new $30 million stock repurchase program, which we plan to commence later this month. Our outstanding performance and financial results over the past year have enabled us to maintain and expand an attractive capital return program for our shareholders. As we discussed on our last call, 2021 is a year of investment in our long-term growth. We remain focused on investing in our digital capabilities to complete our omni-channel model, geographic expansion into new States and new product and channel development to drive additional long-term growth. In the first quarter, we completed development of and began testing our improved digital prequalification experience for our customers. Digitally sourced originations represented 33% of our total new borrower branch buying in the first quarter and 25% of all branch originations we booked remotely in March. We are very pleased to see the success of our digital and technological investments and the adoption of our expanding omni-channel model by our customers. In the second and third quarters, we expect to roll out the new prequalification experience to all our States and to begin integrating the new functionality with our existing and new digital affiliates and lead generators. In addition, within the next few months, we will begin testing our new guaranteed loan offer program, which is an alternative to our convenience check loan product and offers online fulfillment with ACH funding into a customer's bank account. We also remain on track to begin testing our end-to-end digital origination product for new and existing customers later this year. And by the first quarter of 2022, we expect to rollout an improved online customer portal and a mobile app. As we communicated previously, we entered Illinois, our 12th state in mid April, and are excited to begin offering our valuable loan products to millions of new consumers in the State. We plan to open 15 to 20 new branches in 2021. We also expect to enter up to two additional States by the end of 2021 and an additional four to six States over the next 18 months. Our geographic expansion will be supported by our digital and new growth initiatives, allowing our branches in these States to maintain a wider geographic reach, resulting in higher average receivables per branch and the need for fewer branches. Our digital investments and geographic expansion will also offer new products to our customers, including our new auto secured product, which we began testing in the first quarter and we expect to roll out to all our States by the end of the third quarter. We are very excited about the rest of this year and what the future holds for our franchise. We will continue to invest throughout the year in our growth additions while maintaining our focus on credit quality and optimizing our overall underwriting capabilities. As of March 31st, approximately 70% of our total portfolio had been originated since April, 2020. The vast majority of which was subject to enhanced credit standards that we deployed following the outset of the pandemic. Our credit performance and underwriting capabilities continue to be foundational to our operational success and provide us with confidence as we pursue our long-term growth strategies. We could not be happier with our first quarter performance, which is a testament to the strength and dedication of the entire regional team. We remain fully committed to our customers and our path forward and we are in a prime position to generate strong top and bottom line growth for the full year. As we execute on our priorities this year, we are also looking ahead to 2022 and beyond. We are focused on our key strategic initiatives of digital innovation, geographic expansion, and the development of new products and channels. All of which will allow us to gain market share and create sustainable long-term value for our shareholders. I'll now turn the call over to Harp to provide additional color on our financials.
Harp Rana: Thank you, Rob and hello everyone. Let me take you through our first quarter results in more detail. On Page 3 of the supplemental presentation, we provide our first quarter financial highlights. We generated net income of 25.5 million and diluted earnings per share of $2.31 resulting from our growth initiatives, stable operating expenses, lower funding costs and strong credit as illustrated on Page 4, branch originations were comparable to prior year. As we ended first quarter originating, $169.7 million of loans. Meanwhile, we grew direct mail and digital origination by 9% year over year to $61.7 million. Our total originations for $231.4 million, 1% higher on a year over year basis and 5% higher than the first quarter of 2019. Despite two rounds of government stimulus payments in the first quarter, our new growth initiatives drove $29 million a first quarter origination. Page 5 displays her portfolio growth index trends through March 31st, we closed the quarter with net finance receivables of $1.1 billion up $3 million from the prior year period, as we continue to successfully execute on our new growth initiatives and marketing efforts. Our core loan portfolio grew $18 million or 1.7% from the prior year and decreased only 2.5% from the end of the fourth quarter in line with normal seasonal liquidation. Despite the two rounds of government stimulus. Small loans decreased 8% quarter over quarter due to the disproportionate impact of the stimulus payments on this portfolio, a large loans grew slightly at 0.6% versus the fourth quarter of 2020 for the second quarter, as Rob noted, we expect some trailing impact from the third round of stimulus and tax refunds due to the extended tax season in April, followed by a rebound and demand this month and next overall. We expect to see modest quarter over quarter growth in our finance receivables portfolio in the second quarter on Page 6, we show our digitally sourced originations, which were 33% of our new Board volume in first quarter, another high watermark for us. This demonstrates our commitment to meeting the needs of our customers and serving them through our Omni-channel strategy. During the first quarter large loans with 64% of our digitally sourced originations turning the Page 7 total revenue grew 2% to $97.7 million interest in steam yield increased 10 basis points year over year, primarily due to improve credit performance across the portfolio. As a result of the government stimulus tightened underwriting during the pandemic and our overall mix shift towards higher credit quality customers. This resulted in fewer loans and non-accrual status and fewer interest or cruel reversals offset in part by the continued product mix shift towards lowering building margin loan, interesting, the yield and total revenue yield decreased 80 and 90 days points respectively due to a combination of seasonality are continued portfolio mix shift to larger loans. And the second stimulus payment, which is noted previously had a disproportionate impact on our small loan run off in the first quarter. As a March 31st 65% of our portfolio were large loans and 81% of our portfolio had an APR at, or below 36%. In the second quarter, we expect total revenue yield to be approximately 30 basis points lower than the first quarter and our interest in field to be approximately 20 basis points lower due to the impact that the third largest stimulus payment is expected to have on our higher yield and small loan portfolio. Moving to Page 8, our net credit loss of 7.7% for the first quarter, a 280 basis point improvement year over year while delinquencies remain at historically low levels, net credit loss is roughly 80 basis points from the fourth quarter. This is due to normal seasonal increases of MCLs in the first quarter, but the rate of increase of 80 basis points in the first quarter was below the 150 and 180 basis points seasonal increases that we experienced in 2020 and 2019 respectively due to government stimulus, improving economic conditions and our lower delinquency levels. Any COVID related losses will occur in late 2021 at the earliest as a result, we expected our full year net credit loss rate will be approximately 8% flipping to Page 9. The credit quality of our portfolio remained very strong thanks to the quality and adaptability of our underwriting criteria, including appropriate tightening during the pandemic, the performance of our customer scorecards and the impact of governance stimulus. Our 30-plus day delinquency levels as of March 31st was a record 4.3%, a 230 basis point improvement from the prior year and 100 basis points lower than December 31st. At the end of the April, we saw 30 plus day delinquencies drop further to a record low of approximately 3.7% moving forward, expect 30 plus day delinquencies to gradually rise off the April low to more normal levels. Turning to Page 10. We ended the fourth quarter with an allowance for credit losses of 150 million or 13.2% of net finance receivables. During the first quarter of 2021, the allowance decreased by 10.4 million to 12.6% of net finance receivables. The decrease in reserves included the base reserve released 3.8 million from portfolio liquidation and a COVID-19 reserve release of 6.6 million. As a reminder, going forward as our portfolio grows, we will build additional reserves to support this new growth at the moment, the severity and the duration of our macro assumptions remain relatively consistent with our fourth quarter model, including an assumption that the unemployment rate will be below 10%. At the end of 2021, we will review these assumptions every quarter to reflect change in macro conditions as the economy begins to rebound or 139.6 million allowance for credit losses as of March 31st continues to compare very favorably toward 30 plus day contractual delinquency of 47.7 million. We remain confident that we remain sufficiently reserved flipping to Page 11, GNA expenses for the first quarter of 2021 we're 45.8 million and improvement of 0.4 million reserve 0.9% from the prior year period, primarily driven by reductions in executive transition costs and operating costs related to COVID-19 partially offset by an increase in personnel expenses, marketing expenses and investment in digital and technological capabilities to support our new growth initiatives and omni-channel strategy. Our operating expense ratio was 16.3% in the first quarter of 2021, compared to 16.5% in the prior year period on a sequential basis, our Regina expense rose 1 million in line with our expectations due to lower deferred loan origination costs. Seasonal loan originations in the first quarter, as compared to the fourth quarter overall, we expect GNA expenses for the second quarter to be approximately 2.2 million higher than the first quarter. We expected for the ramp up investments in the back half of 2021. As we continue to invest in digital capabilities to complete our omni-channel model geographic expansion into new states and new products and channels to drive additional long-term growth. These investments will help drive a receivables growth and lead to improved operating leverage over the longer term. Turning to Page 12, interest expense with $7.1 million in the first quarter of 2021 and 2.6% of our average net receivables, this was a 100 basis point improvement year over year and $3 million or 30% lower than in the prior year period. The improved cost of funds with driven by lower interest rate environment, improved funding costs from our recent securitization transactions, any favorable $785,000 mark to market increase in value this quarter on our interest rate cap, we currently have $400 million of interest rate caps to protect us against rising rates on our variable price funding, which as of the end of the first quarter totaled $193 million. We purchased $100 million of additional interest rate caps in the first quarter to take advantage of the favorable rate environment. We purchased a total of $300 million of interest rate cap since the beginning of the pandemic at a library strike price range of 25 to 50 basis points as rates fluctuate, the value of these hedges will be marked to market accordingly, looking ahead and normalizing for the hedge impact in the first quarter, we expect interest expense in the second quarter to be approximately $8.5 million. Our effective tax rate during the first quarter was 24% compared to a tax rate of 36% in the prior year period for 2021, we expect an effective tax rate of approximately 25%. Page 13 is a reminder of our strong funding profile. Our first quarter funded debt to equity ratio remained at a very conservative 2.7:1. We continue to maintain a very strong balance sheet with low leverage and $140 million in loan loss reserves. As of March 31st, we had $573 million of unused capacity on our credit facilities and $207 million of available liquidity consisting of unrestricted cash and immediate availability to draw down our credit facilities. And as Rob noted earlier, we recently enhanced our warehouse facility capacity, close it on three new warehouse facilities with our current lenders, Wells Fargo and credit squeeze and add in JPMorgan to our roster of lenders. Our total warehouse capacity has expanded by 175 million to 300 million. And the average term on the new warehouse is approximately 22 months, roughly a 4-month extension from the prior facility. As of April 30th, we had $758 million of unused capacity on our credit facilities, providing us with even more capacity to fund our operations, our ambitious growth plans and our capital return program. In the first quarter, the Company repurchased 352,183 shares of its common stock at a weighted average price is $33.57 per share under the Company's 30 million stock repurchase program. The Company completed the $30 million stock we purchased program in May, having repurchased in total 951,841 shares of its common stock at a weighted average price of $31.52 per share. As Rob noted earlier, the Company, the Board of directors has declared a dividend of $0.25 per common share for the second quarter of 2021. The dividend is 25% higher than the prior quarter's dividend and will be paid on June 15, 2021 to shareholders of record, as of the close of business on May 26, 2021. In addition, as Rob mentioned earlier, we're pleased to announce that our Board of directors has approved a new $30 million stock repurchase program. Overall, we are very happy with her top and bottom line performance, resilient balance sheet ability to turn excess capital to our shareholders and our prospects for strong growth. That concludes my remarks. I'll now turn the call back over to Rob.
Rob Beck: Thanks harp. In summary, it was an excellent first quarter for regional as our omni-channel operating model, new growth initiatives and superior credit profile contributed to record performance. We're excited to execute on our key strategic initiatives, which will position us to sustainably grow our business for years to come and ensure that our customers continue to receive the first class experience they have come to expect through our long-term investments in digital innovation, entering new markets and developing new products and channels. We are positioned to expand our market share and create additional value for our shareholders. Thank you again for your time and interest. I'll now open up the call for questions. Operator, could you please open the line.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question is from John Hecht with Jefferies. Mr. Hecht, please go ahead.
John Hecht: Rob, Harp, congrats on a good quarter. You guys are clearly differentiating yourselves from the pack with your year over year or, modest, but you had year over year growth. So a lot of people are seeing huge contraction in the portfolio, given stimulus and so forth. I'm wondering, can you give us any details on how much that would be the equivalent of like call it a line increase to maybe a recurring customer versus new customer activity?
Rob Beck: Yes, John. Thanks for joining. I appreciate the kind words on the quarter yet, the way we're looking at the growth that we saw and I think the industry overall, I've heard various things plus, or minus down 10%, us having $18 million or roughly 2% core growth really stood out and I think a big driver of that is, as we mentioned in the call was we had $29 million of growth, new origination's from our growth initiatives. And that's a combination of things. It's new customers that we acquired, as you said, it's also deepening the relationship with existing customers. So if you recall some of the new initiatives that we launched at the tail end of last year, that really helped fuel our year-end growth. We direct mail program. We expanded to a larger risk response segment, particularly on the response side. And that brought in new customers. We also, if you recall, expanded our direct mail program, a wider geography around our existing branches, so that brought in new customers and we call that obviously our extended footprint strategy, which is going to help propel us as we go forward into new states and leverage our digital capabilities with fewer branches. But at the same time, we also opened up the credit box towards the end of last year to our very best customers are good and excellent customers with FICO above 640. So we also added additional balances with those customers, and that's what helped drive kind of a large loan growth that we saw in the first quarter. So net, really happy to grow, you know, 2% in our quarter loan portfolio, even without the new initiatives, we still would have performed, I think, better than the market. And I'll just, I'll call it planning last year at this time for what, postpaid pandemic life would look like. We put in our series of growth initiatives and we've been executing ever since, and that's really driving the outsides performance relative to the market in our opinion.
John Hecht: Okay. That's helpful. Just curious to get an update kind of on the regulatory environment. Number one, the CFP, the small dollar rule I know has been toned down, but I guess there's a chance to get kind of salt settled in the court system. And do you guys see that having any meaningful effect on your collections practices? And then the second is understand your opening in LNO, but we also know they had a regulatory change earlier this year. Did that change any the way you offer your products there?
Rob Beck: Yes, so the Small Dollar Lending Program that just came out, I think it's $13.5 million and that's pretty de minimis and we don't really see any impact on that with regards to collection practices, obviously we're monitoring anything that comes out of the, the CFPB or elsewhere, we have a very strong compliance program and feel comfortable that we're positioned to, to handle anything that might come our way with regards to Illinois, they put in all in great cap of 36%, which we knew prior to entering the state, it's the sixth largest state by population. It's an attractive market even at, a 36% all in rate cap. I mean, 81% of our portfolio today is already below 36% APR. And so we feel there's opportunity to really put on a lot of good business there. Now, naturally when there's a rate cap in any state, what that doses, you have to tighten up and who you can lend to. So the FICO score in Illinois is it would be higher than maybe in some states that were willing to lend to make sure we keep our net credit margins where we want to keep them. But it's an attractive market for us. I think there's others that are leaving the market are scaling back because they have a lot of branches. The great thing is we have the opportunity to go in there with fewer branches and leverage our new and improving digital capabilities to operate there with, with a lower cost and take some share.
John Hecht: And that's a good segue to my last question is you, at some point, do you think your digital initiatives will allow you to enter a region that you have zero branches in?
Rob Beck: No, I, we still feel there's a lot of value to that customer interaction that's enabled by having a brand's presence, what I think that how I would characterize it is, but that doesn't mean we need to have as many branches on every corner to maintain that relationship. So the model has got to evolve over time, but we feel that we can enter the new markets with, far less branch density still allow the consumers to interact with us, however, and wherever they want to, whether they want to come to a branch, which might be a little bit farther drive that used to be or deal entirely with us online, particularly once we get our end loan, origination process up and running at the end of this year, internally next year.
Operator: The next question is from David Scharf with JMP Securities. David Scharf, your line is open.
David Scharf: Actually that covered most of the questions I had, but there was maybe one I wanted to get a little more color on Rob, listen, we're at sort of the tail end of an earning season where pretty much every lender has, disclosed record low delinquencies and losses and documented the impact of stimulus. And obviously all eyes are more on growth than credit, but I'm wondering you had made the comment that 70% of the current portfolio has been originated, since April of 2020 under tighter underwriting standards. And as we think about the magnitude of loan growth, acceleration if not in the second, third quarter, at least by the end of the year, an entering next year, what are some of the signs you need to see, before sort of, wide net credit box a bit, become more aggressive or for lack of a better term, return to pre pandemic underwriting standards.
Rob Beck: Yes, no I'm asking David, thanks, we started to see signs of, stabilization and at the tail end of last year, when we started open up the credit box to our good and excellent customers. So our very best customers. So we started extending larger loan size to the best customers as we get forward into this year. Naturally, using our data analytics, we are looking for opportunities in the portfolio to open up where it makes sense, without, getting ahead of ourselves. One of the great things about where we are from a credit standpoint. Now, obviously the stimulus has been a terrific, positive for the industry, but, we tightened appropriately at the start of the pandemic. We started to loosen up to our very best customers at the end of last year. The other thing is, we've increased the size of our portfolio for large loans. It's south 65% of our portfolio versus 57% at this time last year. Well, those are higher quality customers. And so when you look at where we stand today, we have a really superior credit profile. And what it does is it gives you a lot of flexibility, then to do the analysis, determine where you can open up the credit box to achieve attractive net credit margin. And that's what we would, we're doing on a normal course of business. The other thing I'd point out is, and this is you can see this in the, in the key. You can also see it in the release, our delinquency dollars, whether it's the miss paid bucket from one 29 days past due, or the 30-plus days past due in aggregate versus prior year, delinquencies were down $75 million in versus fourth quarter down $50 million. So the one 29 day bucket was 9% last year, it's 4.5% at the end of the quarter and 30 plus 6.6% last year. And it's now 4.3% in March and 3.7% here in April. So when you've got the underlying business momentum that I've talked about with the new growth initiatives, along with the solid credit, it really gives you a lot of flexibility and opportunity going forward. And, we have lots of head room for growth. You think there's going to be a strong rebound in the second half, similar to what we saw, last year when we put on $149 million of volume growth and the second half. And so we see lots of opportunity and we're going to be taking advantage of, of things we can do both from our marketing standpoint, our investment in our new strategies, but also where appropriate, loosening up the credit box. If it's pregnant, delivers, attractive returns.
David Scharf: Got it. No, that's helpful. And, you lastly, just kind of pivoting to the, digital originations, you know, with a third of the volume, I'm curious, as you look at the competitive environment, are the, are, are you seeing more lenders that you would characterize as direct competitors surfacing more visibly on some of the digital partners or platforms like Credit Karma or Lending Tree that you're using. Just trying to get a sense for whether you kind of have a different view of application conversion and customer acquisition when you're in the digital environment, versus obviously more local physical presence with a branch network.
Rob Beck: Yes. I'll say this, that a big part of our growth has been adding additional lead aggregators to our relationship profile. So the existing ones we have, we've been maintaining share. Now the real opportunity comes with the pre-qualification process, so think about an environment and today all the digital leads still get referred to our branches and our closed at our branches. So obviously with the development of an end-to-end capability, eventually we can close loans completely digitally. But in the meantime, with the new prequalification process, we're going to be linking that up with our digital lead aggregators through our API. And what that does for us, and it's a real power of it, and I'll just give you an example. Let's say one out of four applications or one out of five applications from a said unnamed lead aggregator only make it through to approval, while our branches have to go through the other three or the other four applications, and that's time consuming. With the prequalification bolted onto the process, the branches only get the applications that they know are going to approve, and that effectiveness, if you will, is a real positive, and what's so exciting about our pre-qualification process that we're going to be rolling out and linking up to the lead aggregators of the next quarter. And what that helps you do…
David Scharf: It's a different set of competitive challenges depending on the channel you operate in.
Rob Beck: You also move up -- sorry, go ahead.
David Scharf: I'm sorry, go ahead.
Rob Beck: I just said it also helps you kind of move up the funnel too because if you're able to move through approval, prequalification, you can move up the funnel with a lot of these lead aggregators. And that's a positive relative to competitors that don't have the capability.
Operator: The next question is from Sanjay Sakhrani with KBW. Sanjay Sakhrani, your line is open.
Steven Kwok: This is actually Steven Kwok filling in for Sanjay. But good quarter guys. The first question I have is just around the revenue yield, as it came in a lot stronger than what the expectations were, I guess. Can you talk about with the drivers of that, how much of that was related to better yields versus the mixing perhaps better than what you had expected, right?
Harp Rana: Yes. I'll take that question. So year over year, revenue came in $1.7 million or 1.7% better. And the primary driver of that was better credit performance on the portfolio, meaning that fewer loans went into non-accrual status. And we had fewer interest accrual reversals. At the same time, we had mix shift to our larger loan, and then we had better portfolio quality year over year, which impacted the yield. So overall, when you look at the yield versus prior year, it looks fairly flat in terms of the interest in the income. But you're 10 basis points better because of all of those benefits that I just spoke about.
Steven Kwok: Got it. And as we looked at the current quarter, you're guiding for the yield to come down 30 basis points, sequentially, what's the large driver of that? Is it the portfolio mix that's going to impact that?
Harp Rana: It's really the impact of the last stimulus. It was the largest stimulus to date, and it's the impact that's supposed to have on our small loans, which are disproportionately affected both by the stimulus and also with tax refunds.
Steven Kwok: Got it. And then just as a follow-up on the funding side, given that these interest rate caps that you've put in place, does that offer protection as rates rise? And if so, how should we think about the implications there?
Harp Rana: No, they definitely provide a benefit as interest rates rise. So how I would think of them is probably as a capital hedge against rising interest rates rather than a perfect P and L hedge. So in the quarter, we had a mark-to-market adjustment of roughly $800,000, and that happens as the value of those hedges increase or decrease. As rates start to rise, the value of those hedges will increase. And we put on $300 million since the beginning of the pandemic and they have fairly low strike prices, they range from about 25 basis points to 50 basis points. So they're very much a part of our funding strategy as we move forward and help us manage that interest rate risk.
Steven Kwok: Got it. So you would expect to continue to roll these through as we proceed ahead into next year?
Harp Rana: When you say roll them through, I want to make sure I specifically understand what you mean. So the benefit of them as interest rates rise will continue to benefit us. In terms of thinking through further interest rate cap, that would really be dependent upon the price of the cap, the strike price of the cap, and where we thought the rates were going to go.
Operator: The next question is from John Rowan with Janney. John Rowan, your line is open.
John Rowan: I just have one quick question. The allowance rate, is that a good allowance rate to use going forward? Or are there any other COVID-19 or macroeconomic reserves that we could see released at some point?
Harp Rana: All right. So our reserve is currently at $139.6 million, that's got a reserve rate of 12.6%. We've got $23.8 million in COVID reserve on the books right now. We released $6.6 million of that, given improving macroeconomic factors. So I would really think about this in two pieces, as we look to the future and improving economic conditions that would have a corresponding impact on that COVID reserve, just like it did in this quarter. And then when you think about the BAU reserve, which is at about 116, that we would build as we put on more volumes. And we would probably build that at the same rate, between 10.5 and 10.8, which is what we had used when we began reserving for CECL at the beginning of 2020. So that's how I'd think about that.
John Rowan: Okay. So just make sure I understand this, there's $23.8 million COVID, that was before the quarter, and then you released $6.6 million out of that $23.8 million?
Harp Rana: So out of the $139.6 million that we have today, $23.8 million today is COVID. At the beginning of the quarter, we had $30 million of which we released…
John Rowan: Okay. I got you. I was interested if six was net of the -- okay. All right.
Operator: This concludes the question, and that's the session. I'd like to turn the conference back over to Rob Beck for any closing remarks.
Rob Beck: Yes. Thank you, operator. And just to summarize, really great quarter, really good underlying business net momentum is evidenced by what I think is out performance relative to the industry, both before and including our new growth initiatives. Like I said, lots of headroom for growth as we focus on our growth initiatives. Again, investing in digital innovation to build out our omnichannel strategy, our geographic expansion and the new products, including auto secured, and new channels as we look to expand with new digital lead aggregators, so all that foundationally supported by really superior credit, based on all the things I've mentioned, including tightened underwriting and a mix of the business, as well as government stimulus. So, we're poised to take advantage of the opportunities as the economy opens up. And we're already thinking about additional things we'll be investing in for next year to continue a strong growth into 2022 and beyond. So really pleased overall with the state of the business, the opportunities in front of us, and also that we've been able to return capital to shareholders. So thanks again for your time today, and look forward to speaking to you again soon.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.